Operator: Greetings and welcome to Waitr Fourth Quarter Earnings Conference Call. At this time all participants are in a listen-only mode and a brief question-and-answer session will follow formal presentation. This conference call will include forward-looking statements within the meanings of the securities law. These forward-looking statements will include things about the company's strategic priorities and certain statements of our expectations and plans. Forward-looking statements are subject to risks and uncertainties that could cause our results to differ materially from the forward-looking statements that are contained in our company's filings with the SEC, including the risk factor section in our recently filed Form S-4. The company does not assume any obligation to publicly release any revision to the forward-looking statements discussed during the call. In addition on this call, we will refer to certain non-GAAP financial measures to help understand the company's financial performance and to supplement the financial results that we provide in accordance with GAAP. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP counterpart in our earnings release filed with SEC earlier today and can be found on the Investor sector of the Waitr website at invetstors.waitrapp.com. Hosting today's call is Chris Meaux, Founder and Chief Executive Officer of Waitr. David Pringle, Waitr's Chief Financial Officer as well as Jeff Yurecko, Waitr's Incoming Chief Financial Officer. I would now like to turn the conference over to Mr. Meaux. Please go ahead.
Christopher Meaux: Good afternoon. And thank you for joining us today. I'm excited to be speaking with you on our first ever earnings call and look forward to continued dialogue with our investors, analysts and all of Waitr stakeholders now and into the future. 2018 was a transformational year for Waitr. We began year as a high growth private company with the bright future went only a few months into the year our future became even brighter. In May 2018 we entered into a merger agreement with Landcadia Holdings, kicking off a series of events that included Investor road shows raising $85 million in private capital, adding experienced technology and restaurant executives to our Board and the bell ringing ceremony celebrating our listing on NASDAQ, all the while maintaining our growth minded focus to achieve incredible results for the company and our stakeholders. Our record results in 2018 tap the remarkable year of growth and operational development by our company. Our growth came on the back of our differentiated business model and not only it serves consumers with a unique and consistent user experience, but provides a valuable brand additive service to our restaurant partners. A few highlights for the year include, an increase in gross food sales of nearly 130% to $279 million, revenue growth of over 200% to $69 million, nearly 1 million active diners on our platform. We solidify our dominance in underserved markets including the addition of 109 new cities, added experienced leaders to round out our leadership team and finished the year with the balance sheet that included over $200 million in cash setting the stage for future organic growth and acquisitions in 2019. It truly was an incredible year one that we will not soon forget. With the accomplishments of 2018 behind us and a strong balance sheet at year-end, we began 2019 focused on the future of Waitr and maintaining that great momentum. We kicked off the year with the acquisition of Bite Squad, an online ordering and food delivery platform more than doubling the size of our company with one acquisition. We are thrilled to welcome Bite Squad into the Waitr family and have spent time since the acquisition getting to know their team and diligently beginning the integration process of combining the two companies. There were many reasons why this combination was right for Waitr, including significantly expanding our scale and footprint across the U.S. giving us a more national versus regional footprint. Today we serve over 80 markets with more than 600 cities and 30 states. Both Bite Squad and Waitr has similar business models operating a three sided marketplace, dedicated to serving our restaurant partners, active diners and W2 employed delivery drivers. We have a shared strategies of entering underserved cities and establishing market dominant positions creating the foundation for growth in 2019 and beyond. We are able to leverage respective strengths for both companies to create a best-in-class organization, which was further expanded on a few weeks ago with our leadership transition announcement, strengthening our team. And together we expect to achieve net revenue for 2019 of $250 million. Since this is the first of what I hope will be many visits we have together, I'd like to share with you our vision for 2019 and beyond. The restaurant industry is dynamic and rapidly changing and it is our belief that Waitr is well positioned to be a leader in underserved markets as the industry evolves. When we look at opportunities that lie ahead, one can only imagine the possibilities. Restaurants are scrambling to chart their path in this changing industry. And it is especially relevant when we look at independent operators of single unit or small chain restaurants in the markets we serve. These restaurants rely on five basic systems to manage the front of the house and to grow their business with limited financial resources. These include a delivery provider such as Waitr or Bite Squad processing delivery, and carry out orders online, a credit card present transaction processor to handle their card present in restaurant transactions, a loyalty program provider to manage their loyalty card and promotions process, the table management solution to manage their reservation and wait listing platform, and the POS provider, which many restaurants use only for time and attendance, and to send orders to the kitchen. When we look at the future of these independent restaurants, it's not hard to see the opportunity for most, if not all of these services to be provided by a single vertically integrated platform. With a tablet in every restaurant, a team on the ground in most markets and the convergence these services already beginning, it isn't hard to see how Waitr and Bite Squad are well positioned to lead the future of this evolution. We recently outlined this vision to our board and to management. And we all agree that to achieve this vision over the next few years, 2019 must be a year of hyper focus and successful integration, which will be our foundation for future growth and opportunity. First, we will accelerate our growth in the markets we currently serve gaining depth in restaurant selection and active diners, strengthening our dominance for delivery in underserved markets. We will invest responsibly in these markets to capture a larger share than we already have, allowing us to achieve increased organic growth throughout the year. Second, we will continue to expand into new markets. We've identified new markets within our current operating footprint and we can expand into with Bite Squad, this will allow this will now happen at a faster pace. We expect to add services around 200 cities in 2019 inside and out of our current footprint. Third, we will continue to take advantage of opportunistic acquisitions. And we believe there are several attractive opportunities available in our core delivery business. Lastly, we will be innovative in building, partnering and acquiring products and companies that will move us forward in achieving our vision for the future of a single vertically integrated platform for our restaurant partners. To achieve these objectives, we will work to leverage operating synergies in the integration of Waitr and Bite Squad, strengthen our balance sheet to be opportunistic for acquisitions, just as we were with Bite Squad and take advantage of strategic opportunities to strengthen our restaurant partnership with valuable service and insights and analytics to help restaurants compete in an ever changing industry. Our journey to become a public company has been an amazing journey, but the work is just beginning. I'm proud to lead this incredible organization and our team. We look forward to updating you throughout the year on our progress starting with our outlook for 2019, on which Jeff will provide more color shortly. I want to say a huge thank you to all of our Waitr and Bite Squad team members for a tremendous year of hard work. You guys have been instrumental in the transformation of the brand and helped us establish a dominant position in the food delivery sector, bringing us together as one. I know you will share my enthusiasm for getting started in this next exciting chapter of our great company. And finally as most of you know a Dave Pringle our CFO will be retiring at the end of this month to spend more time with his family in California. He has been a great asset to us as we transition from a private to a public company. Dave, I really want to thank you for your dedication to Waitr over the last few years and appreciate the effort you were putting in to assure a smooth transition to Jeff in the coming weeks. I will now turn the call over the Dave Pringle to introduce our Incoming CFO who will share with you more on our 2018 results and our 2019 guidance. Dave?
David Pringle: Thank you, Chris. Let me just say that it's been a real pleasure to work alongside you and our terrific team at Waitr and now Bite Squad over the past two years. While I'm very excited about being able to spend more quality time with my family soon, I'm equally excited about the future for the combined company. And to hear a little bit more about that, let me turn the call over to Jeff Yurecko the incoming Waitr CFO. Jeff?
Jeff Yurecko: Thank you, Dave, and thank you for helping me get up to speed over the past few weeks. Before I get into the numbers, I'll give a quick introduction of myself. I recently joined the Waitr team as part of the Bite Squad transaction, where I have been the Chief Financial Officer since 2016, helping build the team and infrastructure at Bite Squad to scale the company nationally, and ultimately helping facilitate the Waitr-Bite Squad partnership. It's an honor for me to join the Waitr team and collectively we're all excited to join forces into building and growing the combined business. Now on Q4 results, revenue for the fourth quarter 2018 increased 148% to $21.3 million compared to $8.6 million in the fourth quarter of 2017. The increase was largely due to increased order volume, reflecting both our continued growth in legacy market and our expanded footprint to a lesser extent a modestly higher fee structure. Gross food sales for the fourth quarter of 2018 increased 113% to $83.4 million compared to $39.2 million in the fourth quarter of 2017. Operations and support expenses increased 128% to $16.4 million in the fourth quarter of 2018 from $7.2 million in the fourth quarter of 2017, due primarily to increased order volume and continued optimizations for growth. Sales and marketing expenses increased by 253% to $6.6 million in the fourth quarter of 2018 from $1.9 million in the fourth quarter of 2017, as we continued our aggressive growth in both current and new markets. Research and development expenses increased by 334% to $1.9 million in the fourth quarter of 2018 from $444,000 in the fourth quarter of 2017 related to continued technology investments to support growth. General administrative expenses increased by 272% to $13.5 million in the fourth quarter of 2018 from $3.6 million in the fourth quarter of 2017. A largely portion of this increase is driven by the Landcadia business combination completed in Q4. Included within G&A was stock-based compensation expense of $7.2 million, a large portion of which was attributable to the accelerated vesting of certain stock based awards related to the Landcadia transaction. Additionally, we introduced $800,000 of transaction specific cost in the quarter. Without these transaction costs the stock-based compensation, general and administrative expenses would have been $5.6 million or 26% of revenue in the fourth quarter. Depreciation and amortization expenses increased by 66%, $321,000 in the fourth quarter 2018, compared to $193,000 in the fourth quarter of 2017. Net other expenses totaled $29,000 in the quarter and $10.8 million in the fourth quarter of 2017. 2017 number includes a $10.6 million charge related to an amendment of our 2017 convertible notes. Income tax benefit was $465,000 in the fourth quarter of 2018 compared to expense of $1,000 in the fourth quarter of 2017. The 2018 income tax benefit was largely due to the reversal of the estimated tax liability we assumed from Landcadia as a portion of the deferred financing and underwriting cost paid at close will be deductible for tax purposes. Net loss for the fourth quarter of 2018 was $16.97 million or $0.52 per share, compared to a loss of $15.5 million or $1.55 per share in the fourth quarter of 2017. Adjusted EBITDA for the fourth quarter of 2018 was a $6.4 million loss compared to a $3.9 million loss in the fourth quarter of 2017, as the company continued to invest heavily in growth. As of December 31, 2018, we had cash on hand of approximately $209 million, consisting primarily of cash and money market deposits from the Landcadia combination. On January 17, 2019, we completed the acquisition of Bite Squad, using approximately $198 million of that cash to fund the portion of the acquisition. In January 2019, we amended the credit agreements with Luxor in order to provide additional term loans under the debt facility of proximately $42 million. The proceeds of which were used to finance a portion of the consideration for the Bite Squad. As of March 6, 2019, we had cash on hand of approximately $48 million. As of March 1, 2019, we had 69.9 million shares of common stock outstanding. And finally, for the full year 2019 expect to achieve pro forma revenue of approximately $250 million for the combined company. And with that, we'd be happy to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] First question is from Alex Fuhrman with Craig-Hallum. Please go ahead.
Alex Fuhrman: Great, thank you very much for taking my question and congratulations on a really strong year and becoming a public company and perhaps most importantly completing this transformational merger with Bite Squad. A couple things I wanted to ask about one is that you're - it seems like both businesses are growing very quickly. Waitr in particular is really been launching a bunch of new markets lately, which I would imagine are weighing on the profitability of the company. I'd love it if you could give us just a little bit of a better sense now that you have a pretty good operating history in Southern Louisiana and Lake Charles, Lafayette, Baton Rouge. Can you give us a sense of are those markets still growing for you? And, how has the profitability ramped up in some of your older, more mature markets as they've scaled in their first couple years?
Christopher Meaux: Yes. Thanks, Alex. Great to hear from you. Again, we are continuing to see really great growth in all of our market. Baton Rouge in particular is a market we've been in for at least three years, maybe even a little longer. And the cohorts and not just Baton Rouge, but every other market that we're in are still really strong. And so we don't see any - haven't seen much of a degradation in business at all. And so, I think it's attributed to a couple of factors, the one is that this sector in general is still expanding rapidly. And then, also we feel like we offer a great user experience in all of the markets. And so that's allowed us to continue to grow.
Alex Fuhrman: Great. That's really helpful, thanks. And then as we think about your guidance for next year, would it be possible for you to give us a better sense of how much of that $250 million of revenue we should expect to see from each of the two brands. And is there anything you can you can tell us a little bit more about profitability? I mean, again, I would imagine with the pretty strong growth that probably weighs on your profitability for this year, but anything you could tell us about your expectations for EBITDA as the year progresses or how we should think about it over the next couple of years would be very helpful?
Christopher Meaux: Alex, I'm going to take the second half of that question and then Jeff can expand on it. But as far as EBITDA and profitability, we've - as most people know we're a very rapidly growing company and we're going to continue to grow rapidly again in 2019. And so because we're a growth oriented company, we're making investments in growth and we're going to continue to make those investments. But as you know and many of the folks who we've talked to before, both Bite Squad and Waitr got a start on very little capital. So we've had to be a very capital efficient company since our founding in both cases, and we're going to continue to do that. So the fact that we have capital on the balance sheet right now, and we have an aggressive growth plan is not going to take away from the fact that we still need to be able to manage how we use that capital and maximize the growth that we're going to get from the capital that we have. But I'll let Jeff answer more specifically on the revenue side and then anything he wants to add on EBITDA as well.
Jeff Yurecko: On the revenue side, obviously the $250 million guidance we put out, I'd essentially would think about that is almost 50-50 between the two operating companies and the core of that is really that's your first question, it's more just and its growth in existing markets year-over-year. There is obviously an expansion plan that we're layering on top of that and in terms of which business execute on those, I don't know that it's really relevant at this point. We're essentially doing the businesses as one brand, so if we decide to - depending on I'd say geographically, where we decide to launch is probably brand that makes the most sense at that point that we'll execute on it. From an EBITDA perspective, as Chris said both our companies are prided themselves historically on being capital efficient and being bootstrapped. So even though now we're - we see a huge opportunity, the plan for us is to optimize for growth and keep attacking on the growth side. But at the same time, we have strong unit economics and we've always maintained and focused on that as well. So I think even though we're focusing on growth at a point in time, when we decide probability is the route we want to go. I think we'll be time to that point to start that transformation.
Alex Fuhrman: That sounds great. Thank you very much.
Operator: Our next question is from Daniel Kurnos with The Benchmark Company. Please go ahead.
Daniel Kurnos: Great, thanks. Good afternoon, guys. Chris, just - can we go back a little bit just on sort of the Delta here. The growth excellent guide obviously, but if we look at sort of legacy, maybe helping frame the sort of your thought process here. Just talk about what the current penetration rate is in your legacy markets as you see it right now, I know you've given numbers around that in the past. And also as you guys go in market maybe to sort of parse it out for us and either trends in average order value, repeat value and how much of in market dollars is going towards new customer acquisition versus increased buys of your current customer base? And then on the new market expansion, if you could just give us sort of a sense - I mean, thank you for framing sort of your growth plans here. Obviously, you guys are rolling out, I think it was, one market every other week. I assume you guys accelerate that, can you just help us think about how the timing - how long it takes you to get to that 2019 target? Thanks.
Christopher Meaux: So there's a lot to unpack there, Dan, I'll start with the legacy markets. It's really amazing what's happening in all of our markets. The legacy markets, the new markets as well. I mean, even very first market still grew in the strong double-digits year-over-year in 2018 and continue that trend today. So we're not seeing a slowdown in growth in legacy markets across the board. And so I think that's a testament to the continuation of diners moving from telephone or kind of legacy ways of ordering to online ordering. And so, we expect that that's going to continue throughout the year. And that's going to drive the bulk of our growth is going to be driven through those existing markets and the depth of penetration in those markets, including the very first markets that we launched. And so, I think that answers your first question, I mean, from a marketing standpoint, and how we're going to invest for growth, there's a lot to unpack there as well, but I'll start off with this. We have been very efficient in how we have driven order growth through installs on the Waitr side and Bite Squad has been very efficient in how they invested in growth on the Bite Squad side. And it was different a little bit to some extent, I mean, we - the bulk of the Waitr business that is mobile, Bite Squad had a little bit different mix in that they had a lot of web business and still do, but that's trending more heavily towards mobile. We've just rolled out a new Android products on the Bite Squad brand side that I think is going to drive some additional growth there. So we think if there's a tremendous amount of opportunity to invest more in installs in our legacy markets as well as in new markets to drive new diners, order frequency and additional growth. And so how we balance that is going to be based on the performance of each of the different types of marketing that we're doing, whether we're driving installs or we're trying to drive order frequency, or what have here. And when we find the things that work then we're going to make sure that we steer more of our investment to the things that work. So we have a plan today, we have started to execute that plan on both brands. It's starting to bear fruit already in the first quarter, we're going to continue to make those investments and we think that by year end, we'll be able to look back and say, look, these were great investments that we made and the results will show that.
Daniel Kurnos: Okay, that's helpful. Thanks, Chris. And then just another one, if I could, I know this obviously gets asked a lot it's probably not incredibly relevant at this point in time, but clearly in the space there are going to be the comparisons. Can you guys just talk about how many markets currently you're seeing overlap with the larger players in this space and are they having any impact on either your revenue growth or customer acquisition costs?
Christopher Meaux: Yeah, definitely. I mean, we - they're starting to come down market. There's no question, right. So we're running across them in some of our markets, especially the fourth quarter of last year, and then now in the first quarter. But in a lot of cases, I think they're in most of the markets they want to be in and we're continuing to open new markets that we find interesting. So we'll keep that going. But our cohorts in the markets that we compete with others are still extremely strong and they're continuing to grow. And so, I think, as we look at what is the true competition, I mean, it's still converting users from traditional methods of ordering to online ordering and in the markets that we serve especially because they're more - they're underserved markets maybe not as used to using technology to do more traditional legacy things like ordering food from a restaurant it creates a tremendous amount of opportunity for us. And so we're going to focus on harvesting that opportunity and focus on the things that we can do to bring more diners and have diners order more frequently on both of our platforms. I hope that answers the question, but the answer is that, our business is strong in all of our markets and continuing to get stronger.
Daniel Kurnos: No, that's very helpful color, Chris. I got more questions, but I'll get back in the queue and congrats on the first public quarter.
Christopher Meaux: Thank you.
Operator: Our next question is from Howard Penney with Hedgeye Risk Management. Please go ahead.
Howard Penney: Thank you very much for the questions. I have three if you don't mind. First, the 1 million in active diners that you alluded to, is that Bite Squad and Waitr or is that just Waitr?
Christopher Meaux: That's just Waitr and there's another million or so in the Bite Squad side too. So combined it's about 2 million.
Jeff Yurecko: Approximately the same number on the Bite Squad.
Howard Penney: Awesome. Do you have just on the core business not including acquisitions the goal is to what you think that number could be for you, just the core business not acquisitions.
Christopher Meaux: As far as active users - active diners.
Howard Penney: Yes.
Christopher Meaux: I mean, we have a plan for where we think we can get and if you look at the - I mean you can back into it Howard, if you look at the revenue growth and the revenue per order and so on. And then we don't release usual frequency, but we don't put that information out publicly right now. So it's not something that I want to state a specific number. But we believe that we will have significant growth this year driving that number up considerably.
Jeff Yurecko: If you looked at growth on our active diners over time, it's really approximately the same as our GFS growth, which you can see in the documents. Over time, we think it will continue to trend similarly, but we also think there'll be an order propensity increase as well.
Howard Penney: And then secondly on the integration processes, you've had some time to work together. Can you - is there any good or bad that's come up with that that you could share sort of the integration process? And does the process includes the talk of a national brand versus keeping two separate brands?
Christopher Meaux: Yeah, so the integration process today has been going extremely well. I think a case in point to show that is the Bite Squad leadership team announcements that we made a few weeks ago that are now part of the executive leadership team of the combined entity. And so that group along with the Waitr executive team have been working very hard on the integration plan. We started to execute that plan. It's going very, very well. I think the most difficult part of that plan ultimately is the technology integration. But I think we have a good plan for technology integration over the next 12 to 18 months. And so we're excited to be able to use the best of it Bite Squad technology and the Waitr technology into one platform that will run both brands. Now as it relates to one versus two brands, we continue to operate both brands. And for the foreseeable future, we're going to continue to operate both brands. And what we'll do is we'll look at where - the regions where one brand is strong and in new markets that we launch in those regions we'll launch under that the stronger brand there, but over time we'll consider whether it makes sense to move to a single brand. And if we make those decisions in the future, we will certainly be sure to let everyone know about it on future calls. But right now we're operating the companies as two separate brands.
Howard Penney: Do you have a goal as to when you'll be done with the integration, the technology integration?
Christopher Meaux: There's not a hard steadfast goal. We have a direction in mind like I said, within the next 12 to 18 months I think we will be - completely if not almost completely done with the technology integration, but there's no timeline on it. We want to make sure that speed is not what we're looking for accuracy of the integration and ensuring that we continue to grow and expand our user base and our order frequency. Those are the priorities as it relates to the integration of technology.
Howard Penney: And then lastly - and thank you for the question. The list of convergence of services that you talked about when you alluded to your acquisition strategy it might include one or two of those services. I was just wondering if you could prioritize what you think of those different services and the convergence of services, what is the most important one to you one or two or how you think about that process of the convergence? Thank you. And that's it for me. Thanks.
Christopher Meaux: Yes. So how I would prioritize them would be what we think brings the most value to the brands the quickest. And we have an idea of what those things are to-date. I mean you can see what other companies are doing and what other services companies are looking at that are driving growth in this business obviously loyalty is one, table management is another, the card present transactions and how some companies are managing card present transactions or expanding the card present solutions that they offer to restaurants. And some of these might be partnerships that we create with other companies. Some of these might be products that we acquire, some of it may be stuff that we developed internally, but we have an idea of where we want to go with that. But right now, as I said, we're hyper focused on making sure that the integration is done successfully and that we continue to grow the core delivery business as we integrate the two companies. And so, we're going to be really heavily focused on that in 2019. Now, that's not to say that we're not going to be opportunistic when opportunities present themselves, like I said in the prepared remarks that might be in our core delivery space and it might be in one of these other products that we see opportunity. But as those things present themselves, we'll talk more about them in the future.
Howard Penney: Great, thank you for your time.
Christopher Meaux: Thank you, Harvard.
Operator: [Operator Instructions] Our next question is from Brent Thill with Jeffries. Please go ahead.
Brent Thill: Thanks. Completely understand the no color on the bottom given the focus on growth, but can you just maybe give us a sense of how you think about the economics with the acquisition? And does anything change from your perspective in terms of how you think about the bottom line over a period of time? And I don't know if there's any other color you can give us, since how to think about the shape of profitability in the next several years out?
Christopher Meaux: Thanks, Brent. Yeah so I'll make a general comment on that and I'll ask Dave to extend on it a little bit. As we look for profitability in the future we've talked in the past about profitability on a market by market basis and nothing has changed from Waitr's perspective we're still focused on profitability on a market to market basis. But we don't want to let EBITDA or our focus on EBITDA take us away from what we believe is the real value that we're creating for our stakeholders and that is growth in these underserved markets throughout the United States. And so, we're going to stay very focused on growth. But Dave has talked about it in the past and I'll ask him to extend on it a little bit more now. We're still very heavily focused on market by market profitability as we continue through that growth. So Dave you might want to add whatever you want to add to that?
David Pringle: Yes, sure. So a couple of things, so in our previous presentation that you all have seen we've talked about contribution margins by markets right and our way of calculating and managing contribution margin and Bite Squad way been are very similar. And in our legacy markets we are producing very strong contribution margins across the board and we expect that to continue. And then we also expect efficiencies to be gained through the combination and the best of both brands if you will. So in the integration modeling that Jeff and the team are working on now they're going to come up with some savings no doubt as the efficiencies that come from the integration. Some of the ones that we know of right away are cost related efficiencies coming together we can do better in some of our negotiations with our vendors related to costs in the credit card processing arena, as well as the insurance arena and several other arenas that maybe we would put in that categories of back office cost. But there will be some efficiencies that will strengthen the bottom line in that regard. And then, I'll let Jeff comment on any of the other integration synergies.
Jeff Yurecko: Yes, sure absolutely, I think the core point is the businesses are extremely similar and if you've spent any time looking up at numbers for both businesses that are released the obvious thing that fix out is Bite Squad's revenue on their GFS, their take rates are a bit higher, which is really the core differentiator in terms of kind of the contribution margin. If you are looking at the Waitr business overtime you can see that on the take rate side it's also been creeping up more towards Bite Squad's take rate. So that's not been a different everything else I think the businesses are extremely similar in terms of how they operate now there's nuances when you're going to start digging into whether it's the restaurant sales process or in-market cost between the two businesses. But at this point it's really just a spent time together and learn best practices and figure out the kind of the best most efficient most costs effective way to attack going forward and then we'll very quickly be doing it the exact same way.
Brent Thill: Okay, great. And just one quick follow up in the past we've gotten some metrics around total orders, total restaurant this quarter we didn't have a lot of the metrics, I'm just curious if you're going to release more of those stats in some of the filings coming forward or is this kind of the new way if you will that you're going to just be focused more on in top and bottom line and not show as many of the key metrics behind the numbers?
Jeff Yurecko: Most the metrics we just talk about restaurants, GFS, et cetera average order value, daily orders, those are all in the 10-K and that will be filed well before the deadline. So you'll be able to see that might be next week.
Brent Thill: Okay, terrific. Thank you.
Operator: This concludes the question and answer session. I would like to turn the conference back over to the management for any closing remarks.
Christopher Meaux: Guys I'd like to say just thank you. This is our first quarterly and annual results conference call. We're excited to have you guys join us. I'll say this, we had a great 2018 and I think if the first two months of the quarter any indication of what 2019 is going to be, it's going to be a great 2019 as well. And so, we look forward to continuing to have this conversation throughout the year. And again thanks for join us.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.